Operator: Hello, and welcome to the Quanterix Corporation First Quarter 2021 Earnings Conference. My name is Michelle and I will be the operator for today's call. At this time, all participants are in a listen-only mode [Operator Instructions].  I will now turn the call over to Amol Chaubal, Quanterix' CFO. Sir, you may begin.
Amol Chaubal: Thank you, Michelle. Good afternoon, everyone and thanks for joining us today. With me on today's call is Kevin Hrusovsky, our Chairman and CEO; and Shawn Stetson, our Corporate Controller.  Before we begin, I would like to remind you about few things. Today's call will be recorded and will be available on the Investor Resources section of our website. Today's call will contain forward-looking statements that are based on management's beliefs and assumptions and on information available as of the date of this call. We may not actually achieve the plans, intentions or expectations disclosed in our forward-looking statements. Forward-looking statements involve known and unknown risks, uncertainties, assumptions and other factors that may cause our actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. The risks and the uncertainties that we face are described in our most recent filings with the Securities and Exchange Commission. During today's conference call, we'll discuss some financial measures that are not presented in accordance with US Generally Accepted Accounting Principles, or non-GAAP financial measures. In the Q1 earnings release and in the appendix of our presentation, which are available on our website, you will find additional disclosures regarding the non-GAAP measures, including reconciliation of these measures to comparative GAAP measures. We believe that these non-GAAP financial measures provide investors with relevant period to period comparisons of our operations. These financial measures are not recognized under GAAP and should not be considered in isolation or as a substitute for a measure of financial performance prepared in accordance with GAAP. With that, I will turn the call over to Kevin.
Kevin Hrusovsky: Thank you very much, Amol. And we're very excited about our Q1 performance. And I’ll start off with an agenda on Slide 3, basically going to talk about our accelerated growth, numerous what we would call growth catalysts for the remainder of this year and for next year as well as the scaling potential that we feel we have as well as the strategy that we're evolving. We'll then talk through financial results to growth, particularly the growth margin and the growth capital. And finally, we'll spend some time talking through our 2021 objectives. So on Slide 4, you can see we had 58% non-GAAP growth year-on-year, which we felt was an incredibly productive quarter. Certainly, some catch-up here from the COVID crisis. I would say that most of this growth, 80% of it, was due to just primary recovery of the markets that we're serving. Maybe 20% of it could be viewed as catch-up, but still very robust order for us, and on a GAAP basis, that was 73% growth. That GAAP includes some of the RADx NIH funding that was declared as revenue in Q1. You can also see that we had a very strong Instrument quarter, 86% Instrument on a non-GAAP basis - on a revenue basis and 86% for Consumables. And those 2 are our primary product dimension of our business. The lab services had modest growth and we expected that this year would be somewhat flat versus last year where we had nearly 100% growth, because there was a surge for COVID demand for our services as well as many of the HDx' being validated. So we did expect this year to be rather flat on Services compared to previous year for that reason. You'll also see that we had 1000 BPS point improvement, primarily due to volume and there's just good momentum and dilution of fixed costs when the volume kicks in, particularly for Consumables. On Slide 5, you can see in addition here, the 2 focus areas in the Q1 were COVID and neuro, and we did get 2 antigen. We got an antigen EUA and we have some appendixes and addendums that we've also submitted for other matrices -- sample matrices. We also got our serology EUA. We do see that there was great progress in bridging for diagnostics based on the NIH and FDA relationships as well as relationships with some payer groups that further build out the opportunity for diagnostics in the long-term through the COVID pivot that we did in the second half of last year. We also found and launched a really good antigen test called an Advantage Assay for COVID that is now actually being deployed across 2 or 3 different drug trials. NIH themselves are running a major 10-arm trial where it's utilizing in blood, our antigen viral test, to see which drugs do perform against COVID, both for acute COVID as well as long-hauler COVID. We also had numerous consumable catalysts, primarily in the neuro linkage to COVID, where we had NfL with loss to taste and smell, coupled in with some of the advances on LDTs for COVID being a key area of research growth as well as the long-hauler drug trials that I mentioned. In the neuro field, we did launch at the end of last year our pTau-181, which is a really significant pTau that allows you to see the dementia -- I'm sorry, the Alzheimer's prior to dementia, but also allows you to stratify out Lewy Bodies in frontal temporal dementia to really important cohort removals that enhances the cohort for Alzheimer trials. And we launched the NeuroPlex, which has gained a lot of attraction and adoption. The Alzheimer trials, particularly at Lilly and Biogen, continue to be a very robust area. And we see several other companies now evolving drug trials and this is an important strategy for us. And we had, as we mentioned, record revenue for the Instruments, $7 million, and consumer utilization was above pre-COVID levels, surpassing the 50% level, which was key for our advance. We also announced the WuXi joint venture over in the China district, which we feel there's a lot of opportunity. We've continued our progress with scaling operations, scaling Quanterix under the leadership of our new COO, Will Geist, who's been doing a fabulous job with the rest of the team over the past six months. We also added Laurie Olson, who was formerly at Pfizer, to our Board, and she was a very strong player in the strategy group and corporate gov for Pfizer for many years under Ian Read. And we also raised over $0.25 billion of cash in the quarter further enhancing our balance sheet. And you can see on Slide 6 the number of publications continues to expand, and that's a lot of the validation for our technology. And there's now over 400 biomarkers that are being measured inside of our technology, mostly as you can see here -- mostly immune and oncology. But the 108 that we have in neurology represents a major portion of our business today and over the next five years. And we'll talk more about that. Instrument placements continue very robustly. Over 40 instruments placed in Q1. And accelerator projects, you can see, we're now up to 139 Phase I, II, III drug trials being run inside of our accelerator. And on Slide 7, over the last 12-month weighted average, you can see that our North America growth has been strongest at 40%, and now represents 62%. So we have a lot of opportunity in Asia, where we know we've had some pullback due to COVID, but it's a major area of expansion for us over the next several years. Customers, still primarily pharmaceutical and CROs, growing at 23%. And then you can see neurology still dominates and should dominate for the next several years, because of the strength of opportunity there. And you can see also that we've now almost approached 45% of our revenue coming from consumables with that 27% growth. On Slide 8, the left side Research & Discovery is where we're trying to really force execution fillers, a good 2 to 3x value creation opportunity with the TAM going from 1 billion to 20 billion as more proteins get discovered upstream of us. And our publications, trials, over 1000 Phase I, II, III trials, plus all the pharma data and the two MS drugs that were approved in 2020, one from Roche, one from Novartis, using our NfL and the PPH ecosystem, Powering Precision Health ecosystem. Those are all great validation points for a strategy to just continue fortifying our moat by further enhancing our sensitivity by another 100x and also increasing our plex to 10. Our ease of use, LIMS connectivity and menu expansion over the next couple of years will be our focus both for neuro and immunology and infectious disease. The growth catalysts, as we mentioned earlier, certainly these Alzheimer trials and neuro in general plus the COVID drug trials coupled then with the launches of these new products, the pTau’s and there some new ones that we're also working on, pTau 217. And we do expect more NeuroPlex opportunities over the next year or two as well. And as we scale our manufacturing and improve our HDx performance and further invest in our global channel, we see that as another key growth catalyst. And really the breakthrough over the last year has been connecting with the payer groups and starting to run trials, third-party IRB trials mostly being run in our Accelerator, but some of the equipment now is at the payer groups themselves looking for improved outcomes using biomarkers. And then on the right-hand side on the next slide, you can see the aspirational diagnostics where there's a significant value opportunity and a larger TAM. And Abbott has done a deal with us, as you know, last year, 10 million upfront. Siemens has done an NfL license. NIH has given us 20 million based on what they could see our advances in COVID. And the FDA advanced us with 2 EUAs. And then MS data that we're actually getting from pharma all represent good validation for our strategy, which is to leverage what we've been able to do in COVID into the neuro and HDx diagnostic advances, and to achieve what we would see as an LDT license this year with one of the major LDT companies, but also in-house, to keep working on our own single site LDT, ultimately single-site IVD for NfL and the pTau’s. So we see numerous growth catalysts in the future for diagnostics. These EUAs will give us some short-term tailwinds, we believe, this year, but we also believe that the key is the Alzheimer screens as well as continuing MS and Parkinson's and managing and measuring minimum residual disease. Once a drug is approved for Alzheimer's, we think represents a very solid longer-term value creation opportunity. And so we are increasing the accelerator LDT footprint and its capability, and we're working closely with these payer groups, because if we can see Alzheimer's precognitive impairment and move them ultimately into drugs that get approved, we can change the outcomes of those that have early stage Alzheimer's in those sectors. So strategically, on Slide 10, as we've shown in the past, there's about 1300 proteins in research and 200 that have actually found their way into IVD being measured primarily by Abbott, Roche and Siemens. But when you expand the detection ability into sensitivity levels a 1000 to 100,000x lower. We think that ultimately there could be as many as 1000 drug -- proteins make it into IVD category, and that 100,000 possibly being reachable with research. And that is going to be achieved with early and noninvasive detection using our technologies, which is digitizing and creating a lot of sensitivity for protein measurements. Slide 12, we've shown in the past, but it shows the pipeline from discovery all the way over to health screens, and you can see that the plex starts out very high with many of the new entrants, the SomaLogic’s, the Olink’s, the Modulus, ISQ. There's a lot of companies here that's moved in for creating 1000-plus plexes to create more protein understanding, where today it's only 5% discovered. And then as you move down the pipeline, you can see that the TAM's increased, particularly when you get into diagnostics, which today is almost 100% singleplex from Roche, Abbott and Siemens, collecting about 25 billion of that 30 billion. And you can see that Quanterix is primarily playing in basic research, drug development, and someday hoping to cross over into health screens. And the impact of sensitivity allows you to use home collection, less invasive samples, dry blood spots, potentially saliva to see disease earlier. And that's the key to creating more utility for these different proteins given home care collection. And when I click onto Slide 13, shifting from symptomatic, where most of today's current protein detection is on symptomatic patients, if we can move it earlier with the sensitivity, we believe that there's a major expansion of the TAMs by close to 60 billion, 70 billion by moving upstream and being able to see disease before symptoms. This next slide just says in the area of neuro, Slide 14. Today, there is primarily using tau, PET imaging and amyloid beta imaging, PET imaging to look for those that have Alzheimer's. And they can begin to see precognitive impairment. You can see in the middle image. And also the cerebral spinal fluid spinal tap are highly invasive technologies. And on Slide 16, we're working to move neuro with our sensitivity down to the bottom left. So we'll be able to see before symptoms, disease noninvasively. And then on Slide 17, the classic cycle is that you start with biomarker adoption. And you can see in this case, there's a lot of companies that are using our technology in the neuro field, where we believe there's a 300% improvement in the probability you're going to get a Phase III approval after having a Phase I advance if you use these biomarkers. And many of these drugs require the biomarkers to get approval, which gives us, in the pharma groups, a much more cooperative environment for us to work together. You can see here 16 years before dementia, there was a lot of headlines that we received over the last year being able to use blood plasma biomarkers to see Alzheimer's that early in elevation of NfL and now some of the pTau’s like 217. That then leads into demonstrating clinically both validating and bringing utility to these biomarkers. And you can see six or seven of the key ones that we're honed-in on. And then down below, you can see that there's a lot of evidence that Biogen and Lilly both trying to move an Alzheimer's drug across the goal line. And both claiming that blood plasma technologies from Simoa have great utility for helping them advance. And then ultimately step 3 is to actually get a drug approved and then create some diagnostics and health screens. And so when you look at that cycle, and we mentioned earlier that already for Novartis and Roche, we have a proof case with our NfL, helping these 2 drugs get approved in 2020. Many of those trials were run in 2018 and ‘19. You may recall some of the surges for those. And so now moving the same model into Alzheimer's is where we're going to Slide 23 shows all the farmers that are now adopted our technology. One of the fastest adoption cycles to enable this incredible ability to transform the way drug development is working. So on Slide 24, you can see that when you look at neuro-degeneration landscape, whether it be Alzheimer's where there's 5 million cases after cognitive impairment. So precognitive, it could be 2 or 3x that level. Then ALS, Huntington's, multiple sclerosis, Parkinson's a million, total about 6.5 million and already we've got major biomarkers looking at all of these disease cascades. Slide 25 just showcases that interestingly now that 15% of the drug trials are for neurosciences versus other areas. So it's continuing to increase. And inside of neurosciences, the neurodegenerative diseases represent 37% of the MS, which is 15% of all drug trials. And this is where we play. And on the right-hand side, you can see the number of molecules in Phase I, II or III trials that we are only less than 10% penetrated today. But this is where we see a major advance because 83% of the NDD drugs on Slide 25 are in fact areas that are biomarkers currently cover and support drug trials. Slide 26 just shows how over the last 4 years, you're seeing more and more drug trials and more and more sponsorships from industry and each of the areas of Alzheimer's Parkinson's multiple sclerosis and other NDD. And we think that the blood plasma biomarkers is really an objective way to significantly enhance these drug trials in the cost, the efficiency and the ability to get, we consider enhanced cohorts that have disease before dementia, and also have better stratification towards the actual disease that the drug is intended. And that enhances ability to get approvals. Slide 27 just shows all of the different biomarkers we have in Alzheimer's, Parkinson's, ALS, MS, and even concussion. And Slide 28, I think is the last slide that I'd like to leave you with, and that is that one of the challenges is that Pet imaging and CSF spinal taps cost $5,000 to $10,000, they're highly invasive. They can't really be scaled and, and our technology for a hundred dollars in a blood plasma test, we think is a game changing way to see what you could have seen in imaging. There's now a lot of correlative studies that have shown this in our third-party peer-reviewed publications. And so teaming up with pharma around what we already have with these different biomarkers, but then further enhancing this with a 100x to even see earlier stage Alzheimer's and to see better discrimination of these stratification of disease cohorts. We believe that this represents an amazing partnership opportunity between [indiscernible] and pharma companies for early detection, stratification , and then minimum residual disease monitoring once drugs are approved. So richer clinical outcomes, speed and cost leads to rethink an incredible opportunity for Quanterix and those companies that are utilizing Quanterix’ Technologies. So with that, I'd like to turn it back over to Amol. Amol has found himself a really nice position at Waters Corporation as CFO, beginning on May 11. We've just been so blessed to have had Amol working with us the last two years. He's done a lot for our company and I can tell you that he will always be in our ecosystem. And he's someone that we know for the rest of our careers will be working very closely together, but Amol has agreed to continue supporting us and working with us. And while that's going on, he's also recruited a really productive Shawn Stetson, who is our Corporate Controller that on May 11 will become our Interim CFO as we do our search. And I would also say that Peter McAree, who was my CFO at Caliper for about seven, eight years, been a publicly traded CFO for many years, even after Caliper has offered to work with us for a couple months during the search to support Shawn, just to make sure all of this socks and the key things that we're working on internally continue to progress on point and on schedule. So with that, Amol, I'd like to turn over to you.
Amol Chaubal: Thanks, Kevin. I mean, as you said, it's been an incredible learning experience for me under your leadership and very proud of what we've achieved here at Quanterix. And will always be part of our broader PPH ecosystem, where more and more companies, investors, KOLs continue to participate in our mission of early disease detection when these diseases can be cured and its game changing for patients. I'll be providing some additional financial details about our Q1 2021 performance. And I'll be referring to Slide 29. As Kevin noted, GAAP revenue in Q1 2021 was $27.2 million and included $2.3 million of revenue from our RADx awards. Excluding this nonrecurring item, our non-GAAP Q1 2021 revenue was $24.9 million, a 58% increase versus prior year Q1. We had record Instrument revenue in Q1 2021 with $7 million in revenue, an increase of 86% versus prior year Q1. Consumables revenue grew 86% in Q1 versus prior year to $11.3 million, driven by significant demand for pTau-181, neuro multiplex assays and COVID RUO assays. Our strong revenue performance in Q1 may include some recovery of previously deferred demand due to pandemic as customers returned to more normal operations. Service revenue increased 11% in Q1 to $6.4 million and was somewhat limited due to resources and supply diverted to support our strong consumables demand. As stated previously, we are not providing revenue guidance. Customer activity has returned to pre-COVID levels. However, a potential renewed spread of new coronavirus strain could force renewed lock downs, potentially impacting installations and utilization. On a GAAP basis, our Q1 gross margin was 60.1% and was favorably impacted by our RADx grant revenue versus prior year Q1 gross margin of 43.3%. Our non-GAAP gross margin was 58.5% in Q1, which was an approximate 1,000 basis points improvement compared to 48.5% in the same quarter of 2020. Our non-GAAP gross margin excludes the impact of our RADx awards as well as noncash acquisition-related purchase accounting adjustments relating to our 2019 acquisition of Uman, thus providing investors with relevant period-to-period comparison of our operations. Gross margin expansion was driven by volume, productivity gains and price, demonstrating a significant opportunity for gross margin expansion in future, as we evolve the mix towards high margin consumables and accelerator services, scale our overall business and reduced product costs. Our GAAP operating expenses totaled $26.1 million in Q1 2021. And non-GAAP operating expenses, which primarily exclude nonrecurring expenses associated with RADx grant revenue, totaled $24.4 million. During Q1 2021, our cash balance increased by $261.5 million driven by $269.7 million in net proceeds from our public offering in February. Use of cash in Q1 2021 was $8.2 million and ending unrestricted cash balance was $442.7 million. Basic weighted average shares outstanding for EPS totaled 34.4 million for the Q1 2021 period. Overall, we are pleased with our Q1 21 performance and progress made on our strategic priorities and remain committed to delivering solid 2021 results in line with expectations. With that, I will turn it back to Kevin.
Kevin Hrusovsky: Thank you very much, Amol. And I'm just going to close with our objective slide, where we do show RUO growth from 2019 to 2024, 2019 being a better base year of 30% to 40% compounded annual growth rate. Neurology increasing our trial penetration to greater than 10%. 65% of our HDx installed base at year end 2021, which means the HD ones will be a much lesser component of our future, which HDx’ have greater pull-through and greater consumable growth opportunity. Also, we mentioned the NfL diagnostic LDT plus AD pharma drug trials. We want to continue to evolve those. COVID, we want to drive a leverageable Antigen & Serology EUA penetration, deliver our RADx scale up that they gave us 20 million to scale up our technologies. A key of the COVID drug trial adoption that already has started and expand the surveillance from payers of the COVID landscape. Immunology, we want to continue to expand many of the interferon and interleukin cytokine assays, which we think also relates to COVID and expand our SP-X placements, and also continue with our payer pharma long-hauler trials. And then financials, in addition to the growth that we've already mentioned, we want to have 240 HDx’, SRx’ and SPx’ placed this year. That's a large number. And then we want 60% of those installs to be HDx which is our most profitable and the highest pull-through instrument that we sell. And on a platform level, scale the Quanterix supply and global channel, define the pathway to deploy this 100x sensitivity, hopefully through partnerships with some of the leading pharmas in the Alzheimer field, where we can go for precognitive impairment expansion and then keep building those strategic partnerships. With that, we'd like to turn it over for questions, and I'd like to open the lines up.
Operator: Thank you, sir [Operator Instructions]. The first question I have in the queue comes from Tycho Peterson.
Casey Woodring: This is Casey on for Tycho. I guess the first one is around COVID contribution for 1Q. Can you just quantify what the antigen and antibody tests contributed to the quarter? And then also on the research side for COVID between research being done on long COVID and then the drug trials as well, just any sort of way you could quantify the COVID contribution here this quarter and moving forward.
Kevin Hrusovsky: I'll start and Amol you can provide additional clarity or Shawn. Basically, we don't provide a lot of granularity, but I would say that the COVID revenue for Q1 from our vantage point is clearly less than 10% of our revenue. We are primarily seeing it in research early on supporting LDT research as well as some of the drug trials that we mentioned. And so it's not a significant component to our Q1, and we didn't have much in 2020 either. So there weren't a lot of tailwinds. It was mostly headwinds in 2020. Now the only other exception to this is if you go from non-GAAP to GAAP, you will find that we had little over $2 million of NIH funding that would have been COVID related. So on the non-GAAP it's less than 10%, but on the GAAP, there are some funds. Any additional color here, either Amol or Shawn?
Amol Chaubal: I mean, as Kevin noted, right, I mean on sort of the EUA COVID approval, the revenue has been minimal. I think most of the revenue is really on the RUO assay, as we see this new dimensionality get added to our technology. And what we remain absolutely excited about is the level of adoption we've seen in some of the leading-edge research happening in some really key research houses like NIH, where they continue to work with our technology on long-haulers and that could provide some long-term applications for this technology. But again, for the quarter, most of it was sort of research assays getting used in sort of LDT or research settings.
Casey Woodring: And then can you sort of talk to any progress that's been made by Siemens and Abbott from each of respective partnerships? And then what are sort of the next steps there and time lines for sort of milestone payments there? Any color on each of those.
Kevin Hrusovsky: First, I would say, Casey, good question. And I think we remain very bullish on both of these relationships. We've seen a lot of activity from Siemens continuing to evolve the NfL. And we do believe that over the course of the next 12 months, we'll continue seeing them involving this for their installed base. And that's the primary purpose here is to give our NfL legs and to try to keep the standard. We've got the best, highest specificity antibody pairs when we acquired Uman, and we would like to continue to evolve that with many of the diagnostic houses. And in the case of Abbott, that was actually a Simoa license. And so they are working to incorporate it into their technologies and that is not a short-term advance. That's going to take time because that's engineering advances. You can't simply take existing installed base to Abbott technology and convert it to Simoa. It requires actual componentry that's associated with the IP that they licensed from us. So that would not be anything you should expect to see any significant advances from Abbott in 2021 as you will from Siemens.
Casey Woodring: And now if I can just sneak in two more quick ones. In terms of pipeline for liquid biopsy partnerships, you talked about this in the past. Can you elaborate on any progress on signing deals with companies like Thrive and the like? And then we've gotten this question more and more on how should we think about the Lilly Alzheimer drug data that was disclosed in March? What does that mean for Quanterix, maybe from a high-level perspective and also as it relates to your collaboration with Lilly on the Alzheimer biomarkers.
Kevin Hrusovsky: I think first, on the liquid biopsy, there's two companies that already have our technology that are productively advancing. One's Freenome and the other is Volition. And these two companies are utilizing the ability to see proteins much more sensitively and having much lower LL, lower limit of quantitation. And so this is key for many of the algorithms that the liquid biopsy companies have been evolving is, not just looking at genomics, but also proteomics. And we have showed in previous presentations, some of the critical proteins in the Thrive algorithms that we do believe we can bring some value to those algorithms for seeing certain proteins that today's technologies wouldn't, most of the standard that they have been using was based on Luminex, they would not -- the lower limit of quantitation or detection was not low enough to be able to detect these proteins. And we do think that those algorithms could be enriched. And so, there's no advances that we would speak of publicly at this point, except that we are showcasing that data and we still have a good -- strong belief that there's a lot of utility for using our technologies in the liquid biopsy landscape, but we ourselves feel like the drug companies aren't as excited and as interested to use companion diagnostics in oncology as they are in neurology. In neurology, they really can't get a drug approved in many cases like Alzheimer's without the support. And that makes it a much more attractive win-win environment for us to work with the drug companies in neurology and the area of liquid biopsy. Unfortunately, many times, it restricts markets and reduces the size of the markets when you utilize companion diagnostics. And that is where we just want to partner and allow those companies to utilize the technology. Your second question regarding Lilly, they continue to be one of our most strategic and important customers, as does Biogen and several others that are in the Alzheimer landscape. And I do think that there's been a lot of enthusiasm around some of the anti-tau technologies and the ability to correlate with blood plasma utility and biomarkers correlate with images and with CSF. And those breakthroughs can change the economics of drug trials and even enable the ability to recruit patients earlier, pre-symptomatic or pre-cognitive impairment, and also stratify out certain types of dementia that is not related to Alzheimer's that could actually hurt drug trial performance for efficacy. And so, Lewy Body dementia and frontal temporal dementia, as an example, pTau 181 has shown a lot of utility in helping stratify those patients out of the drug trial cohorts. So I would only say at this point that Lilly remains very strategic. They've got a lot of our technology and we have a very close relationship working daily and stand-up meetings around a lot of the plans that they have moving forward as well as several of the other companies that I mentioned in the landscape. You might remember Tatiana worked with us for one year and then left to go to Takeda. And she's now deeply integrated into the Takeda neuro landscape where we're seeing several different companies utilizing our technology well beyond Biogen and Lilly. And that, I think, is going to be key to getting some of these drugs approved. So we remain very bullish on the drug trial landscape for the next 18 months in Alzheimer's. And if for some good practice, the FDA does approve one of these Alzheimer drugs, we think that we're well positioned to then try to evolve some blood plasma diagnostics for health screens as well as managing the minimum residual disease, similar to what we're doing in MS. So we look at this as being a very encouraging piece of our overall franchise for the next several years.
Operator: [Operator Instructions] The next one is from Chris Lin.
Chris Lin: Kevin, Amol, thanks for taking my questions and congrats again, Amol. Kevin, maybe just to start, could you update us on your oncology market efforts? Growth there has just lagged the neurology business, but Simoa is uniquely positioned in that market just given the sensitivity. Also, I think one of your slides talk about the launch of a 10plex assay. I am curious if you think that should be able to catalyze oncology growth given the utility of multiplexing within that market.
Kevin Hrusovsky: I think that one of the things that the COVID pivot did, in fact, achieve for us is that many of the oncology labs did shut down in 2020 and became COVID labs. Because if you think about a lot of the early impairment -- acute impairment of COVID patients was cytokine storm or pneumonia from cytokine storm, where the immune system basically unraveled very rapidly and they needed to then try to control the immune system, or they found themselves in cytokine storm. And what we basically do for oncology is immunology. We're looking at the immune system and in the places where there are immunotherapies getting more research into how the drugs interrelate with the various cytokines, whether they be interleukins or interferons is the key to our 10plex. And so, yes, we did launch the 10plex, which basically has been utilized more for COVID because many of those labs had, like I said, converted to COVID labs. So I would say convert back. We believe in the second half of 2021 and 2022, it should bode well for our oncology franchise, which does take a second seat to what we've done in COVID and certainly neurology. And so, as the neurology has further heated up with the Alzheimer excitement over the last 6 months, coupled then with COVID basically reigning on many of the labs that were oncology labs, we don't expect a lot of short-term focus on oncology. We think it would be focused what we think is an incredible opportunity in neurology and COVID. But as those labs transitioned back into oncology labs, we think we'll be well-positioned. And so, that's the way we're staging this so that we're getting the optimal use of our OpEx and keep the growth targeted where we have the greatest opportunity. And so, because neuro and COVID both sit right now in very strong positions, we are trying to make sure we capitalize on those opportunities before diluting our efforts into oncology.
Chris Lin: And then Kevin, the pipeline of early life science tools companies has been rapidly increasing over the past few years. You have a very strong balance sheet, especially with financing earlier this year. You also made a number of strategic acquisitions or a few strategic acquisitions over the past several years. So now with that in mind, I was hoping if you could give us an update on your capital development -- deployment efforts, and if you see any opportunities for M&A in the near future.
Kevin Hrusovsky: First of all, I think we had a lot of investors that were interested to get into our stock and we found it a nice win-win to put more cash on our balance sheet to just give us better protection in the event of a downturn as well as to allow us to look at strategic M&A assets, as they might advance our strategy key to the way we look at M&A is that we're looking primarily for ways to advance our strategy as opposed to any opportunistic pure play M&A. And when we look at it that way, we certainly see a lot of opportunity for evolving our laboratory accelerator services footprint as well as globalization around the world are two key areas that we think M&A could in fact enhance and advance our strategy. Another related area would be for assay development and for antibodies that we think are key. The Uman antibody pair was highly specific, and we were able to see it because of our sensitivity and our Simoa technology. And that gave us an advantage in knowing and seeing the potential that the Uman company and those antibody assets represented. And so, similarly, when you look in the pTau franchise, there are some newer phosphorylated Tau’s that are creating great stratification as well as early detection of precognitive impairment Alzheimer's patients. And so, anything we can be doing in the assay development and/or antibody landscape, whether it be licensing, key antibodies, or actually acquiring them, we think that that is another area that they know capital deployment could be a very productive advance for our investors because of it accelerating our strategy. So we do have a strong balance sheet and we also won because it also allowed us to invite in some newer investors that we think have been very productive, because if you also recall, many of our investors create demand for us by introducing us to the pharma companies that they own. And those pharma companies trying to get drugs approved benefit by using our technologies. And so, investors end up becoming a real good commercial opportunity for us to increase our pipeline for selling our technology. So we actually think that the raises were very productive and subsequently, it's given us a balance sheet to allow us to look for a way to accelerate our strategy. So we feel very productive opposite our current balance sheet dynamics and ability to deploy capital for strategic assets that come on the market.
Chris Lin: And last question for me and probably for Amol. I think I heard that the catch-up dynamic contributed 20% to revenue growth this quarter. Did that primarily impact the Instrument business or do you see a benefit on the Consumables and Services side as well?
Kevin Hrusovsky: I think I'll start, Amol, and then you can maybe follow up. I think that, in general, there's some level of catch-up because you have some customers that basically depleted their stocks. And when they went into shutdown mode, they started many times to utilize our accelerator. And so, we estimate that there's some level, not as significant, probably 15% to 20% of the very strong growth we had in Q1 that could be allocated to some level of catch-up. But the instrument was certainly a stronger instrument than we've probably had in really four years. And this has been an area that we've been continuing to ramp up because we've got new form factors, which have been very productive and the HDx itself has really showed its capability, and that's allowed a lot of customers to want to get into the HDx. And so, I do think that in much of what you see in Instrument, demand is, in fact, strength and we believe continue to be an area of strength, but we ultimately believe our consumables will grow the fastest because it's an installed dynamic where you have an installed base. Then you have utilization that we keep increasing by expanding our menu. So utilization levels give us a double pronged opportunity for growth in the area of consumables. And so that's where we would expect our growth on when we say 30% to 40% CAGR, it's going to be highest for consumables, and it's likely going to be lowest for Instruments, but it's going to be in the averages for Services. This year is an exception for Services because we did grow 100% last year. So Amol, any color to add there?
Amol Chaubal: I think you've covered it well. I mean, Consumables, because of the shelf life, the impact is going to be small. Instruments, it's hard to parse out, because there are several positive factors providing the tailwind for instruments. Catch-up being one of them, but also the HDx performance is well received. There's also demand for neuro multiplexes and pTau’s that’s creating new demand for instruments and the whole COVID dimensionality and RUO is creating demand for Instruments, right? So it's hard for us to parse out. There is some catch-up in the Instruments which will come out in the future quarters. But other than that, as Kevin said, it's small.
Operator: The next question in the queue comes from Max Masucci.
Max Masucci: So with the vaccine rollout, the utility, the role of antibody testing for COVID-19 purposes, I think it's becoming more defined. So can you just give us a sense for which types of antibody testing projects are seeing the most traction? Is it serial testing programs to sort of understand how vaccine immunity degrades or understanding the right dosing or effectiveness of therapeutics and vaccines, but it would just be great to get some color around what you've experienced firsthand in a serology market that's sort of evolving in real time?
Kevin Hrusovsky: I would say, Max, your question is very strong because everything you described, many pieces of what you described, we're seeing. And one of the things that our serology test is going to enable is the ability to quantitate how much antibody is there. And we're only one of two or three EUA’s that have quantitation. We also made a move, about, I guess, two months ago with Dawn Mattoon, who you might recall. She actually joined us from Cell Signaling, had a significant backdrop. I was on their Board and got to know her while being on the Board there. But that's one of the top antibody companies in the world. And she joined us about three years ago. And we've now assigned her to help us build out the diagnostic franchise. She's done an incredible job helping us get the EUAs, working with the FDA for both serology and for the antigen test. And we now see many different shots on goal for utility and serology, and we're going to be planning additional moves over the next couple of months, because we do believe that COVID is far from over. When you start thinking about the immune system protection against COVID, the things that you mentioned, the durability of the vaccine. Key question, will there be a need for boosters? We've listened to the Pfizer calls yesterday. There was a lot of belief that boosters will likely be needed. Also, how do you quantitate when a booster is needed? And how about the variants that are starting to emerge? Particularly when you see the surging occurring in India, where you've seen as many as 400,000 proven and tested demonstrated cases in one day, which means that it could be twice that when you consider what's maybe undetected. When you start to see levels of that level of spread, what you start to look at are the variants and how does these various vaccines quantitate and neutralize? So I think neutralization will be another area of interest, where it's not just what's the quantity of the antibody, is that quantity neutralizing and for how long is it neutralizing? And so, I do believe, Max, that serology will begin to emerge, but it's going to need to be a specialty serology that you have the quantitation, and longer term, the neutralization understanding of those antibody sets. Now we also are seeing a lot of interest in using our viral tests in blood to actually measure how well antibodies from, say, like Lilly and/or Glaxo or other companies, how well are they received as treatments. Same with remdesivir and new analogs of remdesivir from Gilead. These are trials that the NIH are running with our technology, looking at the antigen and seeing which of these drug cocktails have the best impact for acute management, but then long-hauler management, where 30% to 40% of those that have had COVID still are having trouble with recovering taste and smell, and having neuronal death, plus other issues around the body. So we do think that it's an important research opportunity, and we are more interested in pivoting into the research sustainable opportunity because there will be other coronaviruses in the future as well that we see a lot of investment in activity by the NIH, WHO and others around the world to try to protect against the next pandemic.
Max Masucci: Final question for me. I'd imagine the catch-up period for demand will be drawn out over the course of 2021, sort of given the global nature of your customer base. That should pad what you can consider, I guess, organic demand. I guess, first, is that a reasonable assumption? And then, second, can you just give us a sense for the split between Q1 demand that was driven by new customer wins versus utilization increases for existing users? Just trying to get a sense for the recovery on both fronts. And that's it for me. Thanks.
Kevin Hrusovsky: I would say that we are entering into a phase now where we do, unless there's a relapse of some significant proportion, we think that the reopening of many states in the United States, and as that starts to cascade into other sectors into Western Europe probably hopefully being next, and then ultimately some of the more serious current situations getting corrected in South America and India longer term, we do believe that we will continue to see a rebound in a lot of the research that many cases wasn't put on hold because they utilized our accelerator. So we had this great opportunity to further invest early in 2020 to build out our accelerator assets to cover and allow customers to continue a lot of the research and our services. And that's where we do think many of those service opportunities will emerge back into the actual customer labs, where consumable sales will go back across their instruments in their labs. So we do think that that's going to be a very productive area for future expansion. And we do think that throughout the year, as we look at customers that are utilizing the technology historically buying and re-upping their consumables across their instruments, obviously, is a key area of our current growth. But interestingly, those Instruments sales you saw peak in Q1, many of those are brand new customers. And so this is really good news, as the neuro opportunity, particularly in Alzheimer's and MS and Parkinson's, is hitting at the same time because those trials continued while the COVID crisis was shutting down many labs in our accelerator. So that's enabling new customers now that used our accelerator to buy instrumentation. So we get kind of a double prong of both existing customers utilizing and continuing to kind of get back into action, but then new customers that experienced us for the first time through the accelerator during this period, giving us a good opportunity as well for growth with new customers. I hope that helps, Max.
Operator: And I do have one more question in the queue that comes from Puneet Souda.
Puneet Souda: Kevin, first of all, congrats on the quarter. And Amol, we'll miss working with you on Quanterix, but congrats on the new role. So just 2 questions for me, Kevin. First one on neurology. I mean, as you are seeing increasing involvement in the neurology trials, how should we view the long-term diagnostic opportunities if and when those drugs are approved? How do you think you will be participating in that? Is that through licensing or could we see potential direct installs, direct revenue there? And then just broadly, in terms of your CRO relationships, can you give us an update there where you stand currently? What's the penetration where you're at and where you'd like it to be? And how does that impact your accelerator revenue longer term? So that's it for me.
Kevin Hrusovsky: The first, this diagnostic opportunity for Alzheimer's really is something that we are gearing up for, given our relationships with pharma, who have a lot of interests in evolving our technology of blood plasma markers, into health screens as well as management of residual disease, post and approvals. So we had most of our focus, Puneet, on MS, as you know, with NfL up until COVID hit. And NfL found its way into helping us measure loss of taste and smell in the COVID landscape, but it also played a role in Alzheimer's. And so, we've got multiple shots on goal of showing neuronal death, and then more specific markers like the phosphorylated Tau’s and even GFAP for some levels of inflammation for the Alzheimer cascade. And so, I think what you might see evolve would be a multiplex that would have a lot of diagnostic relevance, post and approval. And the multiplex would look at neuronal death from the NfL, but would look at some of these pTau’s for more specific stratification in understanding the disease and trying to see it early to be able to move patients. And this is where our payer relationships are paying a lot of dividends, because they have a lot of interest. Some of these payer groups feel like they could have significant quantities of precognitive impairment Alzheimer's, when you think that you could detect it 10 or 15 years before dementia. And if you can get a drug approved that can stop the progression, what you basically could do is use early detection methods with our biomarkers to reveal which members have the specific Alzheimer cascade before any impairment cognitively. And then if you can get them on a drug that stops the progression, in effect, you can prevent a lot of the deleterious effects of Alzheimer's. And so, that's the dream that's starting to emerge. And I think having the pair relationships is also going to be a way to help us advance a health screen strategy for using our biomarkers post a drug approval. So I do think we continue to feel very good about that aspect of our business and feel well positioned to leverage opposite multiple growth catalysts, that opportunity. The CROs have never been stronger. Many of them were utilized even heavier during the period of COVID because their labs stayed open. And so, we have very strong relationships with most of the large CROs. And we feel like 90% of the drug trials that have actually been run using our technology has been through the CROs, whether it be rules-based medicine or Quintiles from Quest, or Covance from Labcorp or Frontage, Eurofins. Across the board, we've got very strong adoption cycles in the CROs, and they utilize the technology and bring higher levels of pull-through. So we actually see it as a very strategic area. The accelerator, we think, complements it. We have many customers that say, you know, I really want to work with the people that invented the technology to run the trial. And so, probably 10% of the drug trials, I think something like 139 have now been run in our accelerator, but we do think that there could be, as you asked, both relationships where we licensed to some of the diagnostic companies the ability to run post an Alzheimer trial approval diagnostics, but we also believe there is the opportunity for us to merge our own direct channel and expansion of our direct capabilities. So we're exploring both, and over the next several months, you'll be seeing more evidence of us trying to gear up as these trials gear up so that we can be ready to pivot into diagnostics for Alzheimer's in the event that a drug does get approval. Great. I think that that probably concludes our call. Is that correct?
Operator: I have no further questions, sir. Do you have any closing remarks?
Kevin Hrusovsky: Perfect. Yes, I just would say, we really thank you for continuing to invest in Quanterix and understand our story. We feel like we have a duty to try to help the world through a lot of the opportunity that these plasma biomarkers are creating for neurodegeneration COVID and longer-term oncology. And we really appreciate the opportunity to continue our collaboration with the investor community. So thank you very much for today, and we'll continue giving you updates. And I wish, once again, Amol and Shawn Stetson, great luck in their next chapters in each of their careers. Thank you very much.
Operator: Thank you, ladies and gentlemen. This will now conclude today's teleconference. Thank you for participating. You may now disconnect.